Operator: Good afternoon and welcome to the Randgold Resources First-Quarter Earnings Conference Call. Please not that all participants will be listen-only mode. There will be an opportunity for you to ask question at the end of today’s presentation (Operator Instructions). Please note that this conference is being recorded. At this time, I would like to hand the conference over to Philippe Lietard. Please go ahead, sir.
Philippe Lietard: Good morning and good afternoon everyone in North America, in South Africa and in Europe. I'm Philippe Lietard. And first of all, I want to thank you all for joining us today again for our quarterly review. As usual, Mark Bristow is standing by in London to talk you through the results. And as usual, he has a great deal of information and good news to share with you. You will have seen also our Annual Report 2006 issued last month, which puts together in a few pages a lot of information about our company and confirms the main message of many of our past quarterly meetings, namely that the creation of value is implanted solidly in the genes of our company, our DNA so to speak. A lot has happened during the past quarter, which Mark will cover in some detail. I want to mention only one series of events of the quarter. After the presidential elections in Burkina Faso in Tanzania at the end of 2005, presidential elections were held in Senegal in February and in Mali in April. Also in April, the Ivorian crisis was to a good extent solved with the appointment of a government coalition of all the forces that were tearing that country apart and with the prospect of elections before the end of this year. So, after all those important political events, Randgold can count on the confirmed stability of the countries where it operates, which adds a healthy dose of comfort to our business prospect. One last one before I hand you over to Mark. You will have seen our recent announcement that Roger Williams will leave the company in a few weeks to pursue an opportunity, which will allow him to spend more time with his young family. For the last five years, Roger has tirelessly kept track of our finances. He has helped ease his Board colleagues take well-prepared decisions. And he has kept you all and all our stakeholders meticulously informed of the economics of our business. As it is today, the last time he joins our meeting, I want to on behalf of all of us to wish him well in the future. Fortunately, Mark was able to welcome back a veteran operant of the Randgold Group. Graham Shuttleworth will join the company after many years of practice as a merchant and investment banker in London and New York, more recently as the Head of Metals and Mining at HSBC. I look very much forward to welcoming him at the Board and to inputting his experience in our strategic thinking. Thank you very much again for your interest in our Company. And now, over to you, Mark.
Mark Bristow: Thank you Philippe and good afternoon, ladies and gentlemen, in this part of the world and good morning to those in the U.S. And moving on from what Philippe said, another good quarter for Randgold Resources. Before I'll go on, I will just point out that we have a webcast on our website, which is a detailed presentation I gave at lunchtime today, U.K. time. So for a detailed review of the results, I will refer you to that webcast. And I'm going to bridge that presentation here today following the slides that are on the website. I think quickly just looking through the highlights of this quarter, in my mind, it was probably the best quarter we've had as a company since we started. Solid performance at Loulo and looking back through the quarters, Loulo's really performed consistently. We were able to grow reserves and that came with the traditional March announcement and our Annual Report, substantially 16% year on year. And we ended the quarter with a nice robust balance sheet, having paid out the dividend that we declared on the back of last year's results and also having spent some $10 million on capital. With the operations really delivering, we were also able to present significant new opportunities in our exploration portfolio, on particular the positive drill results out of Gara, good drill results from the Tongon North deposit and further significant results coming out of Burkina Faso and Senegal. And then to count it all, we were able to make another investment in our relationship with the local government, in particular Mali, where we announced the Kankou Moussa initiative, which is us sponsoring the access to gold for the jewelers in Mali. And really, that worked out very well. It's early days yet, but all of the little gold bars that we have made available have been taken up and have been paid for which is very important to us. And, this will now become a weekly event in Mali. Moving to the next slide, Loulo mine highlights, the slide pretty well speaks for itself, a big emphasis on consistency. The operation really achieved everything that it set itself to do this quarter. And moving on then to the results, it supports that claim to consistency if you look quarter-on-quarter back through the last, from March quarter to this March's quarter, March quarter 2000, you will see costs very well constrained despite the movement in grade. I will just take you back to quarter of 2006. The lower grade was, because we had upside. The better throughput was because we were price setting upside. Last quarter, an improvement on the costs despite the higher grade of last quarter. So, all-in-all, a pleasing performance from the mine. And we see ourselves comfortably on track to achieve our 250,000 ounce target for the year. And as I pointed out in January, it's my firm belief that if the star is aligned a little bit more, we will probably be able to exceed that. Moving on then to some of the projects. Certainly, while the capital team has been, while the operations team has been focusing on running the mine, the capital project's personnel have been making rapid progress with the underground development in both declines now at Yalea, we're down over 60 meters. That's substantial. And considering when we put this report together, if you read the report, you will see we have got 40 meters in the report. We're now moving consistently every second day taking a blast. Everything is on track to reach our first ore at year-end. Yalea, as you may recall, is the first of the two underground mines that will be developed at Loulo. And effectively, Loulo is comprised of two, should I say, like starter pits that will be mined over five to six years. But the real weight in that project is the underground project, both at Gara and Yalea, and Gara, being our second underground mine and again starting to show significant upside very much like Loulo, like Yalea unfolded as we drilled it, so we've learnt more about the ore body and it's got bigger and bigger. And the last lot of drill results that we suggested might well prove our model last quarter have certainly done so. Some significant drill results on the southerly dipping extensions to the Gara deposit. And we now have positive drill results some 400 meters away from the wire frame. So, it's fair to say that we expect another upgrade in resources; reserves and also the mine plan at Gara as we go through this year. Leaving Loulo, we'll come back a little later to the exploration. Morila, a satisfactory unit cost performance, production down on last quarter. And we did give the market the heads up that the first half will be a lower rate of production than the second half. At this stage, we're still on track for the 500,000 ounce target. It does mean that there's a significant increase in production in the second half of the year and that is all above grade. And I think the satisfying thing for me is the cost control on the mine and certainly if we can get the grades up in the second half, all is well for the cost per ounce profile after the yearend. Although exploration hasn't delivered another ore body, the re-evaluation of reserves using a higher gold price did result in a partial replacement of the reserves than really based on the fact that we used a higher gold price. It just moved some of the stockpile into reserves from the source. Operating results speak for themselves again. I will point out that year-on-year, March quarters, you see the significant drop in grade that comes with the territory lot and I will just remind everyone that we have another, this year and next year at 500,000 ounces and then the following year at sort of 420 to 440 and then, we start processing the dumps in 2010, 11 and 12 as we come to the end of the lot. Again, I will come back to the exploration on that. So, those two operations working well and let's move then on to probably what is our major highlight of the quarter and that has been the significant progress at our Tongon project in the Cote d'Ivoire. We started the drilling program in the northern deposits. There are two deposits; they are very similar to Yalea and Gara in Loulo. And they are about six kilometers apart. The only difference being that these are much bulkier deposits, certainly the southern zone, lower grade but much bulkier. So the strip ratios are lower. The initial drill results out of the Tongon North zone have now delineated a 600 meter strike of 20 to 30 meters of mineralization, all at significant grades and they are shown in the diagram here, really highlighting this deposit as a significant upside potential for the project. I would remind you that the feasibility study originally, or pre-feasibility study on which we base the decision to go to bankable was only on the southern zone and it's scoped a project of 200,000 ounces a year at around $300 an ounce. If we continue to be able to expand this zone and the northern zone, we see significant upside to this project, both in value and based on the fact that we would build a bigger mine on this property. At present, we've 22 holes complete on the northern zone, 3,000 meters and we'll continue to expand the drilling along the 2.2 kilometers of strike and then, we will progress with the infill drilling taking us to meters indicated and finally a reserve status. The same with the southern zone. We are now eight holes complete and drilling furiously, so we're probably a couple more than eight already as we speak. The issue that we face now and I think before I go any further, Philippe very eloquently outlined the progress in the Cote d'Ivoire and certainly so far, I would agree we call the political situation right. And it's something that as you know, we publicly and actively supported the process and we have every reason to believe it will continue to make good progress. We've seen signs that the Buffer Zone is now being dismantled. We are commuting out regularly between Abidjan and the North. We have full support from the government. And as you all know, the leader of the opposition in the North is now the Prime Minister in the same government as the President. So, we have started and embarked on a regular feasibility study meeting review. We've initiated the baseline economic, environmental and social impact studies and the whole Randgold top team with our capital projects. And Adrian Reynolds, who will be managing the bankable feasibility, will be meeting in Tongon in June. The next big question is, can we fast-track the project? I know it will come up. We have looked at it. We are trying to get a bridge in place ahead of the rains. At this stage, we have set ourselves a target of trying to get enough information to be able to rescope the project in September. And then, we will have a better understanding going forward. And so, we still keep our target date of December final feasibility study January initial commencement of construction at January 2009, December 2008 final documentation. But as we have done in Morila and Loulo, we will be looking to bring that forward as and when we derive comfort both from the progress politically and our comfort that we have a good understanding of both ore bodies and can properly match the end plant, the process plant with the size of the ore body. Our next slide is really just to remind everyone that Randgold Resources has a commitment to growing through discovery and development and certainly if you want to grow through discovery and development, you've got to first grow your reserve resource base and this shows how we've grown our resource base over the many years since 1997. And unless you plan to grow solely through M&A activity, you need to grow reserves and from our exploration results over the last quarter and then particularly the drilling results coming out of Loulo, Tongon and elsewhere, we can confidently forecast that the growth trend is going to be sustained and that’s the core base to our strategy, our business strategy going forward. Quick overview of exploration, very busy quarter, a lot of results coming up and I think the significant thing here is that while Loulo has always been our most successful region and certainly continues to be so, it's now getting some serious competition from the likes of Senegal, Burkina Faso, Tanzania and most importantly the Ivory Coast. Just quick review of the exploration progress. At Loulo, we've made some good progress with Faraba, details in your pack. We are continuing to define the Faraba mineralize zone. We have done some geophysics and certainly started seeing the control to the mineralization and we have an ongoing drilling program there. At this stage, we haven't added to the 500,000 ounces we declared last quarter, but we certainly plan to continue with that delineating resources. On Baboto, I think the big progress we made there is that originally, we were struggling to tie up the josies and now with again some remote work, we have worked out that we're not looking at one zone but three separate zones and that was complicating our interpretation. We've gone back, drilled two holes, tested that and now, we're going to be trying to progress the higher-grade zones within the sub-parallel structures. I mean our big driver just to remind you in Loulo now is to find another deposit. So, Faraba P64 region in the South is a key focus. Baboto in the North is a key focus. We still have large parts of the structure between Yalea and Baboto unexplored, which we are working on. Both the southern and northern extensions of Yalea are still open and then, Sicola is in early stage, but very big structurally controlled anomaly that we've never ever tested, which we put on our list to work through. Moving down into Morila, just to give our shareholders comfort that we're not planning to give up on searching for that next guerrilla. We've done a lot of drilling in Morila, and we will continue to encourage AngloGold Ashanti and certainly motivate our exploration team to continue that search. And, as far as I am concerned, we're going to be exploring there until the day we close the mine down. It's tough geology. It's very flat. You can't -- you've got to do it remotely. It's a big system. Everyday, we're working out a little better how that performed. And as you see in the slide too, we are looking at other projects in the southern part of Mali. Moving across to Senegal, as we pointed out we would do at the end of last year, we have now finished the RAB drilling program on a number of selected targets. We have five drill targets now well defined that's two that we had, Bambaraya and Sofia and three more. And we have had some very significant RAB results back from Massawa, the finding of 3-kilometer odd strike with confirmed gold and rock assays. And so, very significant into the section for RAB drilling and the best results being 30 meters at just over 4.5 grams. We also had a good intersection in 2 kilometers south of Delya. And again, it's 20-odd meters at just under 5 grams, so lots of significant gold intersections. And we've now got the diamond drill rig back on the property and we will be systematically evaluating these deposits in the next round of diamond drilling at this stage budgeted for about 5,000 meters. Moving on to Burkina Faso, we finished the -- quite a comprehensive drilling program. We've certainly confirmed a very thick or wide mineralized body. It's between 1 and 2 grams a ton, up to 200 meters wide, 1.2 kilometers long. It's got a couple of million-ounce resource potential. The big thing for Randgold Resources is getting our mine around the low-grade, bulk top of this ore body. What bodes well for us is its location. It's got good infrastructure on access to the Tano down to the Ghana ports and it's got enough water right there. It's on the edge of the forest in the southern part of Burkina Faso, so not in the desert. We have now -- will stop the drilling there. And we have embarked on a review -- an economic review of the project, really scoping it on economics. We're going to do a lot more metallurgy, get our mine around this and just have a look and see what it needs to make it viable, if it is viable. Moving then on to Ghana, which is just across the country border with the Burkina Faso project, we have made good progress in putting together our project portfolio. We've got some good numbers coming out now of the Bole Northeast project. We've added to that with the Fanoma prospecting license and we've just also secured a joint venture with secured a joint venture with Satemkom, a local Ghanaian company, on a property just south of Prestea. Moving on to Tanzania, again, good progress here this quarter. You would have seen last week, we finalized a joint venture with an AIM-listed junior. And it's on the Miyabi property license as a group of licenses put together overtime. It's a very significant walk-up drill target. We are very excited about it. We've -- African Eagle really did some significant work there. And we believe that we can support their initial findings to take it further. We have an initial early stage commitment to complete the work program and then the allowed to take it to pre-feasibility study to earn 51% of their share. So, that immediately has reintroduced a drill target and advanced drill target in Tanzania. Moving then on to the financials, pretty well speak for themselves again. I think the point that I would make is that parts are very well controlled. We did give guidance of 10 to 15% for this year on the back of last year's $300 an ounce average attributable total cash costs. Despite the drop in gold production, costs are well controlled. And I think -- and more significantly too are why were we able to do that? One thing is not as much contribution from Marila, which is in tax. Loulo is out of tax. So that's significant and, we were slightly down on exploration. We did deliver into 33,000 ounces of our hedge, which impacted on the Loulo revenues and despite that it did very well. For the rest of the year, on the hedge side of things, we are rolling out about 40,000 ounces out of the 99,000 ounces outstanding for this year. So that 40,000-ounce will be rolled out to 2010. And that will leave us 59,000 ounces to be over the next three quarters, certainly relying up to participate in just over 80% on this spot for the year and for the rest of the last three quarters a little bit more than that because we delivered quite a bit in the first quarter. And finally, just my normal few slides to finish off with. One with pointing you back to the market and the share price performance both in the long-term over five years -- you'll see that we haven't done badly -- and certainly over the last three months, again an incredible performance. We do compare ourselves with other companies that pay dividends that are sort of going to be around for a long time. And moving on to our final slide, I just leave you with a bit of food for thought. And that is that I think I have regular shared you what management think makes a good business. And just to try and flesh it out, I'm sure that you would agree with me that a good business should sort of if you created a checklist, would include a robust balance sheet, a solid operational platform, a consistent profit performance, the capacity to sustain that performance into the future and a record of delivering on promises and real growth opportunities. And I think we've ticked all those boxes, particularly in a market where everyone is growing. But when you put all the growth stories together, the new gold supply is still under pressure as an industry. We certainly have a demonstrable organic growth. We are shooting for about 630,000 ounces attributable in 2011. And with the Tongon numbers and assuming that the politics substitute continues to work in our favor, we certainly have an opportunity to improve our net. And of course, there is always less prospect to Biddy and Loulo. Finally, I think in summary, the key change quarter-on-quarter has been the appearance of some significant advanced components in our portfolio, across our portfolio in Senegal and Loulo, in Burkina Faso, Tanzania, and particularly Cote d'Ivoire where we also have other projects that has the politics changes we’re going to pick up on. And that leaves me with the point that we as a team believe that we definitely have the opportunity to market ourselves as the go-to gold company, particularly in Africa, where people who want to develop partnerships bringing new gold projects to fruition. We have the resources and the expertise to do that. And we certainly are no less capable than any of the majors to be a credible partner in that part of the world. So we definitely haven't counted out the M&A activity. But what we're really prepared to do is wait for the appropriate one that will create value. Thanks very much for your attention and we'd be happy to take questions.
Operator: (Operator Instructions) Our first question is from Victor Flores of HSBC. Please go ahead, sir.
Victor Flores: Thanks. Good afternoon, Mark. I was hoping you could give us a sense of what changes to the mine plan, if any, you'll have to make to incorporate the possibility that Gara extends at least 400 meters from where you thought it ended previously.
Mark Bristow: Victor, it does a couple of things. The first thing is, it upgrades the grade. The 400 meters is probably the limit on the decline and so, that's one thing. But really, it's just pushing the declines down a little further, maybe looking at being a little bit more selective. Because we've now got much more tonnage and we've got these high-grade deposits. I think the thing that is going to drive us to do is looks above that now back to surface and that whole structure starts opening up again.
Victor Flores: Okay, great. Just to follow up on your comments on the African Eagle project, where exactly is it located?
Mark Bristow: In the southern part of the Victoria Gold region; is in the diagram. So, if you look at -- it's about -- it's southwest of Bole and Houlu. Just outside of sort of nearly west of Golden Pride. It's in the southwestern edge of the Lake Victoria Gold Field.
Victor Flores: Okay, great. And then, just to follow up on some of the work or results that you are gaining out of Senegal, are these new areas that you hadn't touched before? I'm just trying to find the comment in the press release here.
Mark Bristow: They are new. Massawa is brand-new, and Delya was a target that we generated at the end of last year. And the structure has only plans current share zone. It's on the greenstone belt real logical contact on the contact between two significant rock tops. And that structure will not follow further south from the Delya one and we're hitting more in mineralization. So, those two projects are new.
Victor Flores: Okay, great. Thanks very much, Mark.
Mark Bristow: Okay.
Operator: Our next question is from Patrick Chidley of BJM. Please go ahead.
Patrick Chidley: Hi, Mark. I was wondering if you could tell us a little bit more actually on the Senegal exploration, just in terms of what kind of timetable you would have to follow up on those drill results -- those great drill results you've got.
Mark Bristow: Patrick, it is a systematic program. In fact, I'm going to be there in few weeks' time, not even two weeks' time. Next weekend, Phil and I are now going to have a look at them. We've got 5000 meters. We will do a first phase of drilling on the two new targets. We will drill a couple of hundred meters apart. And then, we've got some infill drilling in Bambaraya because we've extended that target. Then, we want to go and do some infill drilling in Sofia. By the time we get those results back, we will have the results from Massawa and Delya. And then we will plan on the back of that. So, it's just an ongoing process.
Patrick Chidley: So Massawa and Delya, you would need to basically take those results and then step out 100 meters out of the side and see if you get continuity?
Mark Bristow: Yes because we've only got RAB -- these are only RAB holes. So they are not diamond holes. They just are really like deep soil samples. They do cover the structure.
Patrick Chidley: And what about -- you mentioned at Sofia, you're doing infill holes. But there's no resource on that right now. Is there a potential for a resource this year?
Mark Bristow: Well, we don't promise resources until we get our mines around this structure. I think for us, Senegal is one that we want to -- hopefully, we can cobble together a couple of these projects to get enough of a resource to say that really starts looking like an economic unit or collection of units. And that's what we're looking at right now. We would like to have certainly the potential to go to 3 million ounces before we would start talking about moving things. If you look at Tongon, we were very long in keeping the resources at inferred because we were just not comfortable about when we could bring it into production. We are now rapidly converting those. So, those resources will be there in inferred, are going to move very quickly to measured and indicated and if everything works the way we would like it to, to reserves. I think the Senegal for us has always been one that gets loaded up every now and then with some interesting numbers. We've just never had been able to cobble anything together. Because Massawa looks interesting because it's got some length and we confirmed gold in the rock which is a significant first step.
Patrick Chidley: And then just final on Gara, you mentioned the resource. You've been drilling 400 meters outside of the resource wire frame. Just wanted to check that wire frame is the actual resource rather than the real reserve, is it?
Mark Bristow: That is a resource, yes.
Patrick Chidley: Okay. So, it's brand-new potentially resource addition.
Mark Bristow: Absolutely. Absolutely.
Patrick Chidley: All right. Thanks a lot Mark.
Mark Bristow: Okay.
Operator: Our next question is from Paul Durham of HSBC. Please go ahead.
Paul Durham: Thank you. Mark, just going back to Ivory Coast a bit, obviously, Soro has now been named as Prime Minister and they have signed this power-sharing deal and I think I've read somewhere that they've agreed to pull out troops from the Buffer zone. What is your understanding of a sort of a timetable for an election? Is there likely to be one this year in the sense that if they've got a power-sharing agreement that they have sort of gone into, do you think that there's a commitment to have a free and fair election this year? Or when is your best guess that that will happen?
Mark Bristow: Paul, there's a lot of things to get done though. The first step is to demilitarize the military zone.
Paul Durham: Yes.
Mark Bristow: Again, they made a lot of progress. As I was saying the Buffer Zone, we don't see the French troops there anymore. There are no more of these ad hoc roadblocks. We drive up there all the time now. And the roadblocks there, they are manned by unarmed people. So, that's the first sign; it is a good sign. The next big challenge is to get the identification process going to be able to have a legitimate election. You've got to have some sort of identification. It's the most important step in any new election process. Everyone bought into that, and I think everyone is appreciative that to keep this process on track. And I would've remind you that we've shared you this process. It shouldn't come as a surprise to you going back now from January last year. I think the real realization that you've got to bring the population through this process. Because one of the big issues that created this conflict was the discrimination, perceived or otherwise, between the northern population and the rest of Ivory Coast. So, it's a sensitive issue. It needs to be managed very carefully. The positive is that the President didn't create the situation. He inherited it. So he's not implicated as a creator. So, he can still manage it. And certainly Mr. Soro is the one that has brought it to everyone's notice. So, we're pretty comfortable. We are certainly starting to talk to the structures within government. We had Soro up at our project I want to say July last year representing the government of Cote d'Ivoire, not as the leader of any rebel faction. So, they've had an interim government. It's just been strengthened by putting him in as an executive officer. So, we're talking to government now about conventions, tidying up the mining code, getting to iron out all the wrinkles so that we're comfortable with being able to commit capital to a project like this. At the same time, we're working with the various agencies on the baseline study. And so, I -- in a long-winded way, I think everyone still talks about elections this year. I'm not sure whether it matters, provided that the process continues as positively as it has. Everyone has got a very positive disposition to the process. If you go up to the North, you don't see -- I mean, you were up there. You don't see -- you see and then you can imagine how much it has changed since you've been there with the acceptance of our -- and the key driver in this process is it's been internal. It hasn't been a United Nations or World Bank or some other brokered deal. It's been one that has really -- the solution has come from within.
Paul Durham: So I guess the bottom-line question here is, when do you think that you are going to be able to tick the box and just sort of say, we're going with this project and ready to commit capital to the critical path on this thing? When have you got that at this stage? Is it six months hence do you think looking at where you are now or is it nine months or is it a year still?
Mark Bristow: Our current plan is by December next year. We've got a lot of work to do. If everything aligns as far as the technical side of this project, we might be able to bring it forward a couple of months. But yes, we're going to the reins now. We want to do this thing properly. The Tongon North deposit looks really attractive, which means we will rescope the whole project. It's going to be much bigger. We want to do it properly and we just -- these sort of things are better. I'd rather have a project that is a lot bigger and well planned than one that is not well thought through and starts early. So, at this stage, I don't think the politics is the critical part. It's getting this project to its optimum point before making the final development decision that is a driver for us.
Paul Durham: Okay, great. Thanks a lot.
Operator: Our next question is from Steve Butler of Canaccord Adams. Please go ahead.
Steve Butler: Good morning, Mark. A question for you on Morila, how will the grades -- you talked about sort of lower grades in the first quarter than you would experience in the second half of the year. So how will the grade profile change, Mark, on Morila as you go through the year?
Mark Bristow: The forecast -- effectively forecast same projections, 350,000 tons a month. And it's going to produce 100,000 ounces more or just under 100,000 ounces more in the second half. That's the grade. I'm just trying to grab.
Steve Butler: So on 100% basis, I guess, Mark, you're saying 100,000 ounces more in the second half than the first half?
Mark Bristow: Yes. We're looking at substantial -- the grades are just under 4 grams for the year. And we are currently at 3.4.
Steve Butler: All right, okay.
Mark Bristow: So, we've got a little bit more next quarter, and then we've got upcoming. And it's all in the schedule. But since we go back into the high-grade zone that we mined early on in the lot as we mined the Shitapit.
Steve Butler: Mark, can you clarify again that your comment -- I think I wrote down on the hedges that you will roll out part of '07 that remains 40,000 ounces. Is that correct?
Mark Bristow: Yes, we've got 99,000 ounces left for 2007. We've I think today rolled out 40,000 ounces to 2010.
Steve Butler: Right, -- what, about a 5% contango roughly?
Mark Bristow: It's around $500, Rog?
Roger Williams: Yes, it's about a 5% contango at the moment. Yes so, $500 is about the number.
Steve Butler: Okay, thanks guys. Last question, Mark, you can remind us again on Tongon South and North what the resources were attributable to each of those respective zones. I know we can probably look it up?
Mark Bristow: Yes, the title resource was -- I will just give you the number, is 3.1 million ounces. In our scoping study, we had what we would refer to as a mineable resource of 1.4 million ounces in the southern zone. That is what we used in our model. And it was on that basis that we -- even when we updated that model, it was a higher cost at the end of 2005 that we were comfortable we would -- this could deliver a 20% return at 475 gold, which is our hurdle rate.
Steve Butler: Thanks Mark.
Mark Bristow: Thanks.
Operator: (Operator Instructions) Next question is from Martin Creamer from Engineering News. Please go ahead.
Martin Creamer: Hi Mark. Could you please elaborate on the reason and motivation for this extending out of your hedge book and whether it means that you believe there's going to be a dip in the gold price in 2010?
Mark Bristow: Martin; two things, we are managing the current high gold price. We took this hedge out to cover the capital risk in Loulo. We believe that the outlook for this year is particularly positive. We also are going to be busy with this capital program way into the -- past 2012. Having 40,000 ounces at 500 gold is -- gives us a bit of downside protection in 2010. And it doesn't really impact significantly on the upside as far as the spot goes, because we are going to be producing quite substantial number of ounces then. So it's just the management of the hedge book. A lot of people want me to go and buy their hedge back. It begs the question why you put it in, in the first place. Also, for $470 million on our exploration success, if we continue to spend that sort of money on exploration, it makes -- you just look at Tongon North. We're going to add lots and lots of ounces. In Gara, we're already looking at adding significant ounces. I'd rather keep my pilot dry. Buying back hedges is real money. So it's really us trying to be prudent in the way we manage and we're looking at the gold price. We wanted to clean up the hedge. We're busy refinancing that project loan that the hedge is for. And again, that project loan is -- we're moving it from the project level to the corporate level. We've got substantially lower terms on it because we're much more creditworthy company now than when we put it in. And, also, we don't have PRR against that debt. We will refinance it, and we will have access to additional money as well. So all-in-all, it was just cleaning up our balance sheet. And we -- at the same time, Roger and his team looked at the hedge profile and said, well, that makes sense.
Martin Creamer: Great. And then quickly, Mark, just operational questions. When will the mining contract for the mining of Yalea be awarded and are people keen on this? Is a lot of lack of capacity around or contract is coming forward for this contract?
Mark Bristow: Martin, we've had a good think about all this. I don't think we've got the perfect solution yet, but the underground development contract is basically a labor contract. It's a skilled provision contract. We own all the equipment. We already have a subcontractor doing the blasting. And we have a quota in the contract with Sharp Thinkers as far as training Malian skills. And I'll tell you it's been significant what they have done in the short time they've been there. We can see the Malians by the color of their hardhat. Our view at this stage is that we certainly would see us extending that concept for the mining because the way we're going to mine it is really drilling, blasting, and mucking back to the conveyor belt.
Martin Creamer: Right.
Mark Bristow: And so we would like to believe that we would have highly skilled operators to manage the mucking and trucking back to the conveyor and that the drilling we will maybe contract out and the blasting we had contract out.
Martin Creamer: Okay.
Mark Bristow: So, I think that's where we're going. I think what we recognize as a risk in contract mining certainly in these faraway places is when you effectively bring in a contractor on the back of your balance sheet and he owns the equipment.
Martin Creamer: Right.
Mark Bristow: So, we own the equipment.
Martin Creamer: Okay. Thanks very much, Mark.
Operator: (Operator Instructions) Our next question is from Alan Cook of J.P. Morgan. Please go ahead.
Alan Cook: Hi, Mark. How is it going?
Mark Bristow: Hi, Alan. How are you?
Alan Cook: Yeah, good, thanks. Just a quick question, if you don't mind, breaking down I think CapEx was about $10 million or $10.2 million for the quarter. Could you give us a breakdown between Loulo and Morila where that was spent? And if you don't mind, if we could request that you include the CapEx numbers in your breakdown when you give the Loulo, Morila, et cetera, the segmental breakdown on a mine-by-mine basis?
Mark Bristow: I certainly undertake to do it in the future. Roger, can you answer that question?
Roger Williams: Yes, sure. Just about all of it relates to Loulo and $7 million of that was spent -- $7 million of the $10 million was on the underground project, of which $3 million was underground drilling. And the bulk of the $3 million spent on the rest of the projects at Loulo was earthworks. And a large part of that is on the ongoing work on the Tailings dam. But we did. We have made an attempt to show it segmentally as well. But there wasn't really a significant number to show for Morila and there shouldn't be going forward either.
Alan Cook: I think it was about $10 million on a 100% basis for the year, but that’s Morila, is that right?
Roger Williams: $10 million is heavy. It's half that.
Mark Bristow: And under half that in Morila.
Roger Williams: Yes, it’s under half.
Alan Cook: Thanks.
Operator: Dr. Bristow, there are no further questions. Would you like to make any concluding remarks?
Mark Bristow: Yes. Thank you very much everyone for taking the time to share our results with us. Again, if there is any other questions you have, you have our contact details. We're available to take your questions anytime. Otherwise, just drop me an email. I will either reply by email or get back to you by phone. But again, thanks very much. And for those people in New York, I'm going to be at the New York Gold Conference next week. So you can always swing by our booth.
Operator: Thank you, Dr. Bristow. On behalf of Randgold Resources, that concludes today's conference. Thank you for joining us. You may now disconnect your lines.